Operator: Welcome to the fiscal fourth quarter year end 2009 Marvell Technology Group earnings conference call. (Operator Instructions) I would now like to turn the call over to your host for today’s conference, Mr. Jeff Palmer, Senior Director of Investor Relations.
Jeff Palmer: Thank you. Good afternoon everyone. Welcome to the Marvell Technology Group fiscal fourth quarter and fiscal year end 2009 earnings call. My name is Jeff Palmer, Marvell's Senior Director of Investor Relations and with me today on the call is Dr. Sehat Sutardja, Marvell’s Chairman and CEO and Mr. Clyde Hosein, Marvell's CFO and Interim Chief Operating Officer. All of us will be available during the Q&A portion of the call today. If you have not obtained a copy of our current press release it can be found at our company website under the Investor Relations section at www.Marvell.com. Additionally, this call is being recorded and will be available for replay from our corporate website. Before we begin, we would like to remind all participants that this call will include forward-looking statements that involve risks and uncertainties that could cause Marvell’s results to differ materially from management's current expectations, including the forward-looking statements regarding our outlook and response to the current economic environment, our ability to expand market share in new and existing markets, our expectations about revenues, non-GAAP gross margins, non-GAAP operating expenses, free cash flow and GAAP and non-GAAP earnings per share during the fiscal first quarter of 2010. To fully understand the risks and uncertainties that may cause results to differ, please refer to Marvell’s latest quarterly report on Form 10Q and subsequent SEC filings. Please be reminded that Marvell undertakes no obligation to revise or update publicly any forward-looking statements. During our call today, we will make reference to certain non-GAAP financial measures, which exclude stock-based compensation expense as well as charges related to acquisitions, restructuring, gains and other charges that are driven primarily by discrete events that management does not consider to be directly related to Marvell’s core operating performance. Marvell management believes these non-GAAP metrics are useful to many investors as they are consistent with some of the metrics utilized internally to manage our business. While Marvell uses non-GAAP financial measures as a tool to enhance its understanding of certain aspects of its financial performance, Marvell does not consider these measures to be a substitute for, or superior to, the information provided by GAAP financial measures. With respect to historic information, the most directly comparable GAAP information and a reconciliation between our non-GAAP and GAAP figures is provided in our fourth fiscal quarter and fiscal year end 2009 earnings press release which has been furnished to the SEC on Form 8K and is available on Marvell’s website in the Investor Relation section. Now I would like to turn the call over to Dr. Sutardja.
Dr. Sehat Sutardja: Thanks Jeff. Today we reported fiscal fourth quarter 2009 revenues of $513 million reflecting a 35% sequential decline and in line with our revised outlook communicated to you on January 22. Despite the impact of the current economic environment on our business we continued to demonstrate solid financial performance in the areas of profitability and cash flow generation. During our fourth quarter on a non-GAAP basis we reported gross margin of 51.3%. We aggressively lowered our operating expenses and delivered about $95 million in free cash flow or the equivalent of 19% free cash flow margin. We believe these results clearly demonstrate our continued focus to achieve best in class financial performance. Marvell, as with most of our peers, continues to be severely impacted by the unprecedented industry wide erosion in end-market demand. Based on our concerns here on prior earnings calls to you we began to undertake actions in the fourth quarter to realign and improve the efficiency of our business. We continue to believe the best course of action is to focus on those areas of our business we can directly control, influence or positively impact. Consequently, today we announced additional measures to realign our business with the current and the anticipated economic environment. These actions combined with certain cost reduction measures we took in the fourth quarter include the reduction of approximately 15% of our worldwide workforce. We regret parting ways with many of our colleagues but believe these actions are prudent at this time. We wish our departing employees all the best. In addition to the headcount reductions we have also implemented other significant corporate wide initiatives to lower our costs and expenses. Clyde will provide more details later in the call. The actions we are implementing are painful but necessary for us to maintain the financial health of our company for our shareholders, customers and remaining employees. We believe this will make us stronger, more competitive and much better able to deal with the potential of a prolonged global recession. Despite the challenging economic climate, we believe the time is right for Marvell to be very proactive in streamlining our business and we see the semiconductor industry in the midst of revolutionary changes. In our view there is an accelerating trend towards architectural conversions in events system on chip designs. At Marvell we believe we are uniquely positioned to take advantage of this convergence as we serve and have visibility into many different end markets some of which are well known to you but some of which we have not yet brought to market. When we look across the broader markets with service we see many similarities in the technical requirements for many of the system on a chip that we design. From a high level perspective the trends we see in the specifications for next generation devices is the need to integrate multiple high performance, low power embedded CPU’s, support for events, 3D graphics, support for wired and wireless communications standards and lastly a shift towards [POM] standard based performance interfaces. Of course there will always be a need for market specific functionality. This is after all what differentiates a product like a set top box from a Smart phone. But this is becoming a less dominant portion of the overall [inaudible]. However, it is clear to us that a key element of success is the deep knowledge of high performance, embedded CPU’s and the ability to execute complex system on chip designs. At Marvell one of the unifying technologies across our entire product portfolio is our long history of developing our own high performance, embedded ARM instruction set CPUs. We believe that in the future fewer companies will have the breadth and depth of expertise needed to address these coming architectural conversions. A clear case in point is the cellular industry. Many vendors can address one or possibly two portions of the overall design. However, with handset functionality converging on two points; that is entry level phones and Smart phones, the differentiating factor for success in the fastest growing portion of the Smart phone segment is the ability to support a broad portfolio of events intellectual property. In our view, the lynchpin to success in high performance, low power application processors in addition to proven 3G base band technology, integrated graphics, HDTV and complete platform devices including power management and multi-radio wireless connectivity. We believe Marvell has the intellectual property portfolio and expertise to be ideally and uniquely positioned to capitalize on these conversions not only in Smart phones but also in other markets we serve. Throughout the company as we are doing in our cell phone business we are looking 2-3 years ahead in the future anticipating where our industry will be, not where it has been or where it is today. As we continue to streamline our business we will make conscious decisions to align our resources to take full advantage of the architectural conversions that we believe lay ahead. In summary, even with the challenging economic environment we are operating within I believe Marvell will continue to expand its shares in existing and many new target markets. I am proud of our performance today and am optimistic about the near and long-term future of Marvell. We have always been an engineering powerhouse. I expect this trend to continue and that Marvell will emerge even stronger. Now I would like to turn the call over to Clyde to review our financial results for the fourth quarter and fiscal year end 2009 and to provide our current outlook for the first quarter of fiscal 2010.
Clyde Hosein: Thank you. Good afternoon everyone. As Sehat mentioned, fiscal Q4 revenues came in at $513 million representing a 35% sequential decline and down 39% from the same period a year ago. This result was in line with the revised revenue range we provided on January 22. Our non-GAAP gross margin for the fourth quarter was 51.3%, a decrease of 100 basis points from the third quarter and an increase of 260 basis points from the same period a year ago. This is slightly below our prior projected range of 52% plus or minus 50 basis points that we provided last November and prior to the most recent revenue decline. The sequential decline in our gross margin was primarily due to lower revenues offset by improvements in spending. Our overall expenses for the fourth quarter on a non-GAAP basis were $235 million which was significantly better than our previously projected range of $255-265 million. As Sehat indicated, our preparedness for the economic downturn started earlier and our results, in part, reflected this. We have recently taken aggressive actions to reduce expenses including cancellation of bonuses, headcount reductions, salary freezes, consolidation of certain of our facilities and reductions in discretionary spending. Our results in Q4 reflect our preliminary steps in this regard including about $15 million in non-recurring items. R&D expenses for the quarter were $178 million, down approximately $26 million or 13% sequentially and down $19 million from the same period a year ago. SG&A expenses for the quarter were approximately $57 million, down approximately $6 million or 9% sequentially and a decrease of about 36% from the same period a year ago. This resulted in a non-GAAP operating margin of approximately 5%, down from the approximately 19% reported in the prior quarter and the 12% reported in the same period a year ago. Net interest expense and other income was an expense of about $440,000 during the fourth quarter. This was a sequential decline of approximately $12 million and a year-over-year decline of approximately $15 million. We realized a tax benefit of $4.7 million during the quarter which is the result of a favorable tax ruling in one of our foreign jurisdictions. Our non-GAAP net income for the fourth quarter was $32 million or $0.05 per diluted share compared to our non-GAAP net income of $145 million or $0.23 per diluted share during our fiscal third quarter and $123 million or $0.20 per diluted share reported in the year-ago period. The shares used to compute diluted, non-GAAP net income per share during the fourth quarter were approximately 639 million, down from 633 million shares in the prior quarter and slightly higher than the 627 million shares reported in the year-ago period. Changes in share count are primarily due to the variations in average share traded price in the reported periods reflected in the Treasury method of computing diluted share count. This being our fiscal year end I would like to also summarize our results on a full-year basis. Our revenue for fiscal 2009 was $2.95 billion, a 2% increase over the $2.89 billion reported for fiscal 2008. On a non-GAAP basis full year gross margin for fiscal 2009 was about 52% versus the 48.8% reported in fiscal 2008, an improvement of nearly 325 basis points year-over-year. Non-GAAP operating income increased to $500 million or 17% of revenues, 700 basis points better than the 10% reported in fiscal 2008. Non-GAAP net income for fiscal 2009 was $482 million or $0.76 per diluted share, an improvement of 72% as compared to the $280 million or $0.44 per diluted share reported in fiscal 2008. Turning to cash flow metrics, our full year cash flow from operations for fiscal 2009 was approximately $680 million as compared to the $177 million reported for fiscal 2008. Free cash flow for fiscal 2009 was $607 million representing a 21% free cash flow margin, an improvement of about 850% from the $64 million reported in fiscal 2008. Let me now summarize our quarterly results on a GAAP basis. We experienced a GAAP net loss of approximately $65 million or $0.11 per share in the fourth quarter as compared to the $0.11 per share profit we reported in our third quarter fiscal 2009 and below the break even level we reported in the same quarter a year ago. The sequential decline in our GAAP earnings was principally the result of the worsening economic climate, approximately $10 million in charges related to the reduction in force and facilities consolidation and approximately $15 million intangible asset impairment taken in fiscal Q4 2009. The difference between our GAAP and non-GAAP results during the fourth quarter of fiscal 2009 was primarily due to stock based compensation expense of approximately $45 million or $0.07 per diluted share. Amortization and impairment of intangibles represented $48 million or $0.08 per diluted share. Construction and facilities consolidation expenses represented $10 million or $0.02 per diluted share. A reversal of withholding and payroll tax accruals of approximately $5 million reflected in our operating expenses or $0.01 per diluted share. Additionally, our amortization of intangible expenses reflects approximately $15 million write off of certain purchased intangible assets related to prior acquisitions. Now I would like to offer some additional insight into our revenue results during the quarter. From an end market perspective nearly 75% of the revenue shortfall versus our original expectation was due to erosion in the PC end market. Approximately 15% due to consumer products including embedded wireless, handset and mobility related products. Another about 10% due to enterprise networking products. During the fourth quarter Western Digital was the only customer exceeding 10% of our revenues. Now I would like to review our balance sheet as of the end of our fourth quarter. Cash, cash equivalents and short-term investments were $952 million, down approximately $93 million sequentially. We generated approximately $109 million in cash from operations and spent about $14 million in CapEx resulting in approximately $95 million in free cash flow or the equivalent of a 19% free cash flow margin. At the onset of the fourth quarter we fully retired our term loan, paid down the remaining balance of approximately $192 million. We are now debt free. We believe a good position to be in for the current market. Our accounts receivable were $222 million, down about $176 million sequentially primarily due to lower revenues. DSO was 40 days, a decrease of 6 days from the third quarter primarily reflecting the lower revenue levels in the month of January. Net inventories at the end of the fourth quarter improved $29 million or about 9% sequentially to $311 million. Impressive, when considering the significant revenue decline. However, due to the lower revenue outlook, days of inventory of 117 days up sequentially from the 80 days reported in the previous quarter. Accounts payable was $139 million, down $85 million sequentially due to lower processing volumes combined with the timing of payments made to suppliers. In summary, I would like to highlight that even with the recent revenue declines we delivered solid gross margins, were able to swiftly lower operating expenses and we quickly improved our working capital management which resulted in better than expected bottom line profitability and cash flow. Now I would like to provide an update on our anticipated performance in the first fiscal quarter of 2010. As previously mentioned on prior conference calls, we are observing an unprecedented compression as compared to last year in end market consumption patterns across our entire product portfolio. We are uncertain as everyone else is about the duration of the current economic environment. However, we believe the business climate demands that we make hard decisions to better position Marvell to emerge from this challenging period a stronger, more competitive and efficient organization. As Sehat previously mentioned we have taken decisive actions to strengthen Marvell’s long-term health both financially and from a competitive product perspective. These actions include the difficult but necessary decision to reduce the overall headcount of the company. The announced reduction in force will lower our headcount by approximately 15% when completed later this calendar year. The headcount reductions are across all geographies and all functional areas of the company although we did not exit any businesses. As I indicated earlier we have implemented a company-wide salary freeze as well as implemented selected salary reductions and a reduction in work hours in certain locations. Additionally we have made significant progress in lowering various business support expenses such as our travel and outside professional services costs. Furthermore, we have suspended all bonus award programs both for executives and individual contributors until such time as our business improves. We currently anticipate the restructuring charges associated with the specific actions take to date will be approximately $20 million including approximately $14 million related to severance benefits and approximately $6 million related to facilities consolidations. We anticipate the announced restructuring process to be completed by the end of 2009 with a majority occurring in the next few months and it will require us to record additional charges. In our view we believe we are positioning the company for the long-term both technically and financially. We are not making tactical decisions just to react to the current economic environment but are attempting to be proactive in our actions. As Sehat mentioned we see a common wave of convergence which will create competitive discontinuity in our primary markets. We have taken the painful but necessary steps to be well positioned for the future. With these observations as a backdrop we currently project our first quarter revenues in the range of $419-530 million, down 4% to up 3% sequentially. Essentially flattish at the mid point of that range and a decrease of 34-39% year-over-year. We currently project non-GAAP gross margins in a range of 51.5% plus or minus 50 basis points, at the mid point an improvement of 20 basis points from the previous quarter. We currently anticipate non-GAAP operating expenses to be approximately $235 million plus or minus $5 million, flat with our expenses reported last quarter but an improvement of 6% sequentially when we adjust Q4 for the one-time benefits such as holiday shut downs, an improvement of 8% on a year-over-year basis. We currently anticipate R&D and SG&A to be essentially flat. Interest expense and other income together should be just about $1 million benefit. The effective non-GAAP tax should be approximately $2-3 million with diluted share count of approximately 632 million shares. We currently project non-GAAP EPS to be in the range of $0.03 to $0.05 profit per share. On the balance sheet we currently expect to be slightly free cash flow positive during the quarter. We should generate slightly positive operating cash flow but this is expected to be largely offset by the costs of our restructuring programs. Cash balance should be at about $950 million. We currently expect our GAAP EPS to be lower than our non-GAAP EPS by about $0.14 per share plus or minus $0.01. About $0.05 of this difference is related to the amortization of intangibles, $0.07 in stock based compensation expense and about $0.02 to $0.03 related to our restructuring measures. Before I turn the call over to the operator I would like to once again thank all our employees for their hard work, dedication and support throughout this period. The executive team, Sehat and I, sincerely appreciate it. Now I would like to turn the call over to our operator to begin the Q&A portion of our call.
Operator: (Operator Instructions) The first question comes from Craig Berger - Friedman, Billings, Ramsey & Co.
Craig Berger - Friedman, Billings, Ramsey & Co.: I just wanted to understand how does the reduction in R&D affect your investment profile for some of your businesses, cellular, some of the other up and coming products like optical? Then I have a follow-up.
Dr. Sehat Sutardja : As we said in the prepared statements we spent a lot of effort to look into 2-3 years down the road where the convergence are happening. Many of our products, whether they are cell phones, whether it is in HDTV or whether it is in application processors or MID’s and net book types of applications they all seem to have similar requirements. By looking ahead we realize that we could reduce a lot of our inefficiency and redundancies. As a result those reductions will not impact our current as well as projected programs we are working and will be over the next few years.
Craig Berger - Friedman, Billings, Ramsey & Co.: As a follow-up, on the cellular business here a few questions. It seems like it has been a challenging business from a revenue perspective. You can say you have been losing share in ASP processors to [OMAV] and optimally coming up to Snap Dragon. You have one base band customer. Do you believe you have sufficient scale in that business? Do you still anticipate in going after the mainstream portion of the market in coming years? What is the strategy in cellular right now?
Dr. Sehat Sutardja : Actually cellular is very important for us to address. This is an extremely large market for us to tap into and today we have the best in class application processing in the market bar none compared to anybody else in the business. We have obviously believe in Smart phones. We believe the market for phones converging into entry level phones and the rest will be Smart phones including even feature phones being replaced by Smart phones. This is a huge, huge piece of pie of semiconductor consumption we are targeting. We have numerous engagements and we are very positive about the outlook.
Operator: The next question comes from Romit Shah - Barclays Capital.
Romit Shah - Barclays Capital: It looks like you had a $5 million benefit from the reversal of the payroll tax liabilities. Does that hit in the April quarter as well?
Clyde Hosein: Are you talking about on the tax line?
Romit Shah - Barclays Capital: Under operating expenses you had a footnote I think B and it was about $5 million. It looked like that was incremental to SG&A and R&D.
Clyde Hosein: There were two tax impacts. GAAP only results did not include it we had a benefit of about $5 million from the statute of limitations expired and so we had a reserve that we were allowed to reverse. We did not include that in our non-GAAP results. That benefit stayed in GAAP only. Secondly we had a favorable tax ruling in a foreign jurisdiction that allowed us to get a credit of I believe $4.7 million in our tax line, not operating expense line.
Romit Shah - Barclays Capital: My follow-up question was just on the 15% headcount reduction. How much is that going to save Marvell and can you just give us a feel for how it will flow through in subsequent quarters in fiscal 2010?
Clyde Hosein: Fair point. The program that the executive team engaged on started several months ago and it is a broad program to improve our financial health as well as our competitive position. So we believe we get a two for with that. Including, as you said, headcount reductions and it included some other compensation reductions. It included spending reductions across every part of our business. Our entire management team and employee base are working diligently to improve it. I don’t want to characterize it just as headcount reductions. We are focused on every part of our business. To your question, collectively this should save us about $100 million a year just in OpEx and that should be implemented as we get to the end of the year. Specifically in Q1, the quarter we just provided a forecast or guidance to included $15 million of benefit. You should see $20 million next quarter or an incremental $5 million in Q2. $25 million or incremental $5 million again in Q3 and that gets you to the $100 million per year benefit. So I think that is pretty clear.
Romit Shah - Barclays Capital: When you factor in the headcount reduction and everything else you have executed on can you give us what you think the target operating model for gross margins and operating margins are for this company and if it is possible at this point just a revenue run rate to get to that target?
Clyde Hosein: In this environment to talk about long-term operating model some companies are not even giving near-term targets. It is difficult. We spend more time improving our near-term but implementing technologies but I will try to tell you where we think we want to drive this business to. Today gross margins are about 51-52% in this economy. We think that as the economy grows that should give us an improvement. Sehat and the engineering team are driving a number of significant design wins some of which you are aware of and some of which we have not yet announced but in the mid signal space is where our strength is and you should start seeing that in the next couple of years of bringing in a number of areas, SSD, power management and the like, a number of those areas, that will improve our mix. So when that happens and the timeframe is the factor here we should be at about 53-55% gross margins as a result of a combination of those. Our R&D target is to get to about 20-22% of revenues. Obviously we are higher than that today so there is some improvement to come and part of that will be from the programs we announced and part of that will be from what we think are some exciting products to come out in the markets. SG&A we are probably in very good shape with that with our long-term target being the 8-10% range which leads to operating margins of 20-25% and free cash flow margins of 20-25% as well. The timing of course is the question and as I said I think everyone will understand the ability to forecast the future right now is very difficult. I don’t think we will get there this year in the current environment although as we implement the reductions we described combined with some significant share and design wins we have got I think we have a good chance of closing that gap exiting this year, so not for the whole year, but exiting this year about mid way through that and hopefully continued improvement. We will leave some benefit from stabilization of the economy and may have some improvement from that but certainly not back to where it was in the year-ago period. Our model doesn’t depend on that. That is the best forecast on timing I can give you on that.
Operator: The next question comes from Shawn Webster - JP Morgan.
Shawn Webster - JP Morgan: What was your headcount at the end of Q4?
Clyde Hosein: Roughly about 5,500. About 11 persons sequential.
Shawn Webster - JP Morgan: As it relates to your segments can you tell us at a high level what your storage business did sequentially in Q4? What the size of it was? For your outlook for Q1 can you walk us through your through process in coming up with the guidance and maybe share with us what your back log is doing and what gives you the confidence to guide for flat in Q1 when so many other PC and chip companies are guiding for down?
Clyde Hosein: On the segmentation I don’t think we provide any of that. In terms of backlog, the second part of the question on backlog we started the quarter at about 65% which is about average. That has stabilized and improved and is probably on track to get to the mid point of our target. I want to caution while we say that the economy varies, the demand pattern varies so I don’t want to take all of that. That is the current status. I think we are well on track to the mid point of the range and we started out the quarter very well. I think most of the areas are flattish. There is nothing that jumps out in any particular area. I think we have seen some rebound from the January quarter. I think we feel that the January quarter from a revenues point of view is our low quarter. That is our best guess today. I think we intend to mid point flattish. Nothing jumps out. Our intention right now is I think we will be hopefully January as the bottom. That is our current view. We will improve our profitability from there. Beyond that, that is the best color I can give you.
Shawn Webster - JP Morgan: Can you give us a quick update on how you see channel inventories right now?
Clyde Hosein: Visibility is very tough so I will give you our best guest but I don’t want to be portrayed on an expert on channel inventory. You guys write enough about that. Our sense is it is probably on the tighter side especially in the disti channels. We feel that is true especially some of the more mature technologies. We are seeing some expedite and so forth in that area. Our sense is that disti’s probably because of their ability of lenders have tightened up a little too much. I wouldn’t characterize that as a trend and I wouldn’t want to get too excited about that but to answer your direct question I think it is probably lean. Our own inventory has, as you know, declined about 6% or so even as our revenues. So our own inventory we feel is fairly lean and we will keep managing that tightly again and our sense is that the channel is probably the same.
Operator: The next question comes from Uche Orji - UBS Investment Research.
Uche Orji - UBS Investment Research: Let me just follow-up on the inventory comments, looking at your inventory on the balance sheet you have that down in dollar terms sequentially but looking out over 100 days now in terms of days of inventory you have 110. Can you answer two questions for me? First, what is the mix of that inventory and do you have a target of bringing that I think the historical average between 75-80 days of inventory?
Clyde Hosein: Mix in terms of finished goods?
Uche Orji - UBS Investment Research: Finished goods, work in progress and also by product area so we can know how much is going to storage, network and cellular and wireless? That’s what I’m looking for.
Clyde Hosein: I don’t have either one of those answers in front of me. If it is important we will probably have to get some of that for you. In terms of what our target is it is obviously less than 117 which is the number I mentioned to you earlier. Probably in the 70-80 range if you look at a model for us is where we probably want to be. It grew from 80 days in the last quarter to 117, primarily on the subdued broader environment here as we indicated our absolute levels went down. So we’ll keep tightening that and adjusting that. I don’t sense that we have a lot of risk in inventory. I guess the net of what you are trying to get to is do we think there is a lot of risk in there? I think that it is less so, there is always a chance but I don’t feel uncomfortable of the levels we have from a risk point of view. We have to manage our supply chain obviously carefully but I don’t really lose sleep much over our inventory risk.
Uche Orji - UBS Investment Research: Right but you can meet your mid point of your guidance, should we expect the inventories to come down substantially to the target level next quarter?
Clyde Hosein: I wouldn’t say substantially. It is probably going to be flattish to slightly down.
Uche Orji - UBS Investment Research: Let me just switch gears and ask about net books. What has been the reaction from the ODM customers in terms of your net book product? Do you think it is a viable option within the net book market given that it is what you have been driving with your products?
Dr. Sehat Sutardja : The reaction has actually been very positive. We have been doing demonstrations at CES as well as the Mobile Congress so a lot of people there have seen it for the first time and are shocked about the capability of the device and obviously the majority of the software is running on Linux. We are focusing on instruction based CPU’s but we build our own CPU’s so it will be very, very powerful GHz processors. I think the market still addressed the next billion users. I think it is huge. Very, very huge. These are markets where people need the functionality of a PC but they cannot afford to pay more than $100 or so to pay for this kind of device. You see a lot of discussions in the news and you can see yourself a lot of people are working on this. We are all seeing the same huge market opportunity. Our solution today from what I heard from our people that we show it to, to them they clearly say we absolutely have the leading edge solution today.
Uche Orji - UBS Investment Research: It is remarkable your revenue has been cut so significantly and yet your gross margin has remained above 50%. How much more room do you have to continue to improve gross margins and if revenues were to return to the $700 million run rate what type of gross margin should we theoretically expect you to post?
Clyde Hosein: If you go back a few minutes ago I described what our long-term model is and I think that gives you pretty good clarity on what we think our opportunities are. In the interim managing gross margin is very tough. To push costs, our customers of course are trying to push cost on us so it is very tough. I think two questions ago or three questions ago we described our long-term model and you probably can pick up on that.
Operator: The next question comes from James Schneider - Goldman Sachs.
James Schneider - Goldman Sachs: First of all, Clyde could you talk about the recovery in gross margins? How should we think about the profile as we move up from what you guided in Q1 towards your target range and specifically in that could you address the pricing environment you are seeing right now both on the storage and wireless/apps processor side?
Clyde Hosein: On gross margins I think we guided 51-52%. In this economy as long as it stays at this revenue level I think that is probably a reasonable level for us and it is a struggle to get there. We had to keep fighting to get there. So it is not a cakewalk. As far as pricing goes as you would expect it is a challenging environment. Our customers are of course pushing on us. Our defense has always been the value creation we create for them and that has always been very good. Separation from wireless it has always been a tough market in pricing. I don’t know, it was tough 6 months ago and 9 months ago it was pretty tough so I don’t think I see anything materially different there.
James Schneider - Goldman Sachs: As a follow-up could you address, I think you have talked about several times before the opportunity you have with Seagate and the PC hard drive space in the future. Could you address for us your current view in terms of the magnitude of the opportunity for you as well as the timing for when you might see some revenues there?
Dr. Sehat Sutardja : Actually I don’t think we mention specific names, I don’t know if we mentioned specific names, but we did mention that we have all the opportunities on the desktop and mobile on two of the customers that we did not have any revenues in those segments. So we do have engagement. In terms of I guess it is moving quite well. Obviously I would like to see it a lot faster than the way they move but as you know in this industry people tend to move if it takes 9-15 months for people to come up with a design and implement the products and go to production before it turns into revenue for us. So those are moving very well in terms of opportunity. I think you should look at the size of the market share for the two customers we do not have the percentage and if you divide that by a two that is a good target number.
Operator: The next question comes from Randy Abrams – Credit Suisse.
Randy Abrams – Credit Suisse: I wonder if in your guidance for down 4 to up 3 you could go a step further and maybe talk between PC, cellular, consumer and what you are seeing in terms of relative strength within that?
Clyde Hosein: I think it is going to be flat and I think for the most part I don’t think we provide color or are prepared to provide any color on the specific areas. There are dynamics between the two but it is a long road between here and I think we might mislead people in terms of reading if any particular segment is doing any better than another one. I’m sorry I can’t provide any color on that.
Randy Abrams – Credit Suisse: On the OpEx if you could clarify I think you guided OpEx flat sequentially but talked about the $15 million benefit. Are there other parts of the business that are stepping up on OpEx? Then to clarify should we take that flat OpEx and then take it down $5 million the next couple of quarters off the base you guided to in April?
Clyde Hosein: Yes. That is what we said earlier. Take it down $5 million a quarter for the next couple of quarters. Every part of our, I’m not sure if I understand your comment about parts of the business stepping up, every Marvell employee is stepping up to the plate here and we are very grateful for all they are doing. So I don’t think there is any area that needs…I think every employee is contributing.
Randy Abrams – Credit Suisse: Maybe I misunderstood the guidance. If you are having a $15 million sequential benefit from the OpEx reduction why are you guiding flat? Shouldn’t we expect OpEx would take a step down with the headcount reduction?
Clyde Hosein: I said our December results were 235, I realize this is not fresh in people’s mind but I did say about $15 million of one-time benefit in December. Specifically that was shut down over the holidays and cancellation and therefore reversal of previous accrual for bonuses. Both of those events you can’t replicate every quarter. So if you look on a normalized basis it was about 250 and that 250 goes to 235. That is probably a steady state there. There are a number of puts and takes. Obviously you pay more payroll taxes. You have to reset that. But in a nutshell that is how you should think about it. 250 to 235. Basically $15 million.
Operator: The next question comes from Sumit Dhanda – Bank of America Securities.
Sumit Dhanda – Bank of America Securities : I just have one question. On your prospects, Broadcom is touting its leadership in the combo chip market with the integration of their wireless connectivity solutions. Could you talk about your road map a little bit and where you see yourselves positioned and in general what you think their first mover advantage is or is there one in that market?
Dr. Sehat Sutardja : I don’t completely understand when you say combo of what?
Sumit Dhanda – Bank of America Securities : For instance they are integrating functionalities of blue tooth, WiFi onto a single piece of silicon.
Dr. Sehat Sutardja : We do have products that integrate those functions. Different products. We happen to integrate different products maybe just blue tooth plus WiFi. In some products we integrate blue tooth plus FM. We have several different combinations targeting different markets with different levels of integration. We do have obviously the road maps to integrate everything. Like in the very near term. I don’t expect those things at the end of the day will be the highest volume compared to say the two function integration or three function integration. If we are wrong I am okay because we have all the integration as well. We [prepared] to optimize the dye size for the different markets. So we don’t see that as an issue. We also have chip integration with different interfaces. Some chips we have USB. Some chips we have SBIOS. Could we put all the interfaces in one chip? Yes, but then we make the chip bigger. We are trying to balance between integrating more functionality versus cost structure. Fundamentally there is no reason why we cannot integrate everything. Just whether it makes sense to do it or the timing to do it when at least 50% of customers are asking for it.
Sumit Dhanda – Bank of America Securities : I guess part of Broadcom’s contention is, first I understand that you have integrated products, but they are talking about integrating more than just two functionalities on the same piece of silicon, so it seems like integrating more isn’t necessarily an advantage but their thought is that having all the radios work together is non-trivial. Do you subscribe to the notion? Plus they suggest they won a lot of design share with their triple play card, fully integrated blue tooth, WiFi and FM. Do you not see that as a major…
Dr. Sehat Sutardja : We agree. Integrating all those functions are not challenging. In fact this is the reason why we have the best radio in the market. We have the best sensitivity. If you look at our FM functions we integrate it clearly has many several DB’s, better sensitivity compared to anybody else out in the industry. Last time with the [FACS] or the Mobile Congress we demo’d it and people there saw our solution and clearly agreed our solution works where other people’s don’t work. So if you say integration is hard to do I absolutely agree. In terms of integrating everything we have a product that integrates everything, just I don’t think if you are interested in cost structure it is what 50% of people want. Remember we have a large market share in this area and not everything people want all the function. In handheld gaming devices if the customer does not ask for FM radio we don’t want to integrate FM radio. If certain entry level segments where people do not want WiFi we integrate just blue tooth with FM because if they don’t want to pay for the WiFi we don’t have to speak to them about the WiFi functionality. I don’t see any concern about technology on our side. Also if you look at the dye size we have on our chip is 20% smaller compared to the guy that claims they have everything to be integrated.
Sumit Dhanda – Bank of America Securities : You seem to be reluctant about breaking out your outlook by segment. My recollection is that you used to give more visibility by end market segment. Is it just that the end market environment is very cloudy? I guess what is the reason for not giving more disclosure by segment?
Clyde Hosein: Exactly what you said. The end market is cloudy. On any given day it looks great and a week later it is more subdued. I think it is unfair for us to give guidance because it implies we clearly know where we may end up and I don’t think that is fair.
Sumit Dhanda – Bank of America Securities : Does the composition of your backlog not give you a clue since you are so heavily booked going into the quarter with 65% to start the quarter?
Clyde Hosein: It gives you a good clue. There is a reluctance given the environment we are in.
Sumit Dhanda – Bank of America Securities : What about the prior quarter? Could you give us some sense on how the various segments performed in Q4?
Clyde Hosein: In our presentation I think I gave color on where the declines were so I think we can deduce that. If you want we can have Jeff walk you through that. I think in my prepared remarks I described where the…
Sumit Dhanda – Bank of America Securities : Where the magnitude of the shortfall was.
Operator: The next question comes from Nick Aberle – Caris & Company.
Nick Aberle – Caris & Company: I just wanted to ask in terms of revenue drivers looking out over the next couple of quarters irrespective of what is going on with the economy overall, what do you see as your key catalyst to help Marvell grow the top line on a company-specific basis?
Dr. Sehat Sutardja : Within the next year or so?
Nick Aberle – Caris & Company: Correct.
Dr. Sehat Sutardja : There are several I can think of off the top of my head. Market share gains in HVD. We are clearly the leader in this segment. The emergence of the solid state disk controller. We have the leading solution in this market, the leading, highest performance across the board. More deployments of WiFi in the gaming, printers, cameras as well as cell phones obviously. We have been working for several years in multi-standard HDTV decoders targeting for blue ray players and set top boxes. So we have very, very interesting…we are in the final stage of deploying the software packages for those markets. We are very optimistic about that opportunity for revenue next year. The MID markets, talking about the application processors, in some areas at the low end, stand alone application processor in the high end maybe we integrate HDTV functionality. That is a very promising, large market opportunity that I think some time next year could be very, very big market opportunity for us. Energy management. We have been working on energy management and green energy management so such as power [fact] corrections where we developed technology to reduce the energy for AC adapters by a factor of 40-50% meaning the power consumption will reduce drastically through our DSP based, mixed signal solution there. More and more of our new generation application processors are gaining market share. I guess people talk about we clearly have the best technology in this area. Our solutions reduce typically half the power for any given MHz or GHz, assuming they could even get GHz. We are about half the power. Our floating point performance we are about four times the performance of OMAP. So anybody who needs high performance solutions will use our solutions. As well as if you look at how we continue to develop new solutions in the cellular and of course targeting our existing customer wins. We want them to be more successful. We continue to develop even more advanced solutions, lower power solutions, better radios, better application processors, better audio and so on as well as working with several large potential new customers outside the normal RIMM and those are the areas I think will be very, very…if you think about the potential growth opportunities for Marvell in the next 12-24 months.
Nick Aberle – Caris & Company: Just as a follow-up everybody likes to talk about RIMM so can you just give us an update on your relationship there and do you expect to see additional product from RIMM launch with Marvell?
Dr. Sehat Sutardja : Definitely. I think our relationship is strong. At Mobile Congress we look at some of the new technology that RIMM showed, those are using our next generation communication processors that is not even in production yet. They are showing a prototype of some new technology even in the cell phone form factor. So our engineers are working very closely with their engineers so we have road maps for several years ahead. Our people are very busy. Our engineers are very busy trying [meet with] other classes of new products that they have requested from us.
Jeff Palmer: In closing, we would like to thank you all for your time today. We appreciate your interest in Marvell. We look forward to speaking with you at our next conference call and seeing you at our upcoming Investor events. Thank you very much everyone. Have a good day.
Operator: Thank you for your participation in today’s conference. This concludes your presentation. You may now disconnect. Good day.